Operator: Welcome to the ACCO Brands fourth quarter and full year 2008 earnings conference call. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Ms. Jennifer Rice, Vice President of Investor Relations. Please proceed.
Jennifer Rice: Good morning everyone and welcome to our fourth quarter 2008 conference call. On the call today are Bob Keller, Chairman and Chief Executive Officer of ACCO Brands Corporation and Neal Fenwick, Executive Vice President and Chief Financial Officer. We have posted a set of slides to accompany this call to the Investor Relations section of www.accobrands.com. These slides provide detailed information to supplement the call. Our discussion this morning will refer to our results of continuing operations. In January we announced the pending sale of our Commercial Print Finishing Business which is now shown as a discontinued operations. Our discussion will also refer to results on an adjusted basis. A reconciliation of these results to GAAP can be found in this morning’s press release. During the call we may make forward-looking statements and based on certain risk factors our actual results could differ materially. Please refer to our press release and SEC filings for an explanation of those factors. Following our prepared remarks we will hold a Q&A session. Now I’ll turn the call over to Mr. Keller.
Robert Keller: Good morning. By now you have seen our results for the fourth quarter 2008 and the full year. Clearly they reflect the challenging environment and deteriorating economic conditions that exist today. Last quarter we said we would not be providing guidance for 2009 and we are maintaining that position. However, we would like to spend a few minutes this morning discussing our 2008 results in the context of how we got there and then give you our perspective and the long-term actions we are taking to appropriately size our business for the potential of an extended economic downturn and to shift our go-to-market strategies to address the new realities we face today. Our fourth quarter sales declined 30% or 22% excluding currency and business exits. Adjusted operating income declined 64%. This resulted in EBITDA of $35 million and earnings per share of $0.37. There were four primary drivers of our fourth quarter performance and why we lagged both our customers’ performance and those of our traditional competitors’ results. First, a reasonable portion of our product line from white boards to binding and laminating machines are what we consider durable goods as opposed to consumables and in this environment people are buying more expensive products on an as-needed basis rather than a scheduled replacement basis. Second, we lost market share last year both in product placements but also because our customer’s customers are making value decisions and our strategy to mainly focus on the premium placement in a category has largely left us out of the value game. Third, our lack of channel breadth has hurt both our office products and our computer accessories business. Fourth, our customers are able to react faster than we can to changes in demand and did so by significantly reducing their inventory levels even more aggressively than their store and DC closings would suggest. We have responded to all of the above challenges aggressively. We renegotiated the terms of our senior credit facility in December to create additional operating headroom. We also reduced our planned capital expenditure levels for 2009 to $20 million, a 55% decrease compared to the 2008 level of $44 million. We are assuming the operating environment we have operated in the last 90 days is the environment we are going to operate in for the foreseeable future and we have sized the business accordingly. We have already taken actions that will drive an additional $30 million in savings in 2009. These savings are in addition to the $45-55 million of cost reductions we had previously announced would flow through in 2009. We believe the roughly $80 million of annual savings provides adequate cushion on our bank covenants and ensures we have access to liquidity. Our initiatives to achieve these savings include changes to further streamline the organization, substantially reduce SG&A and other costs and drive greater operating efficiencies to better position the company to recapture market share. Restructuring costs related to our expense reduction initiatives are currently expected to be in the range of $20-25 million, essentially all cash with many of those already accrued in our 2008 financials with approximately $6 million anticipated for 2009. Additionally, since the end of 2008 we have reduced our cost of goods sold by 11% and while we are obviously operating our business conservatively we continue to invest in our future. At the current levels of point-of-sale demand we believe our expense structure is appropriate and will allow us to invest in new product development while implementing a more aggressive go-to-market strategy. Part of the aggressive go-to-market strategy is a fundamental shift from a premium product focus to a category management focus. Going forward we want to provide value-based products at meaningful price points including the opening price point in the categories we serve. By definition that means we are willing to work with our customers on their private label strategy. We have also focused on our channel strategy, broadening it dramatically for our computer accessories business and focusing our office products business on increasing penetration in the mass market channel, specifically at Wal-Mart. We have had a couple of wins recently that support our belief that we can compete successfully in that arena. In the computer products business specifically we are transitioning from a product focused strategy to one that emphasizes channel penetration across all relevant channels. Going forward we will aggressively compete for business in the mass and office products channels and e-channel as well as the consumer electronics channels where we already have a meaningful foothold. We also intend to expand and deepen our relationships with original equipment manufacturers to improve the attachment rates for our computer accessories. Acknowledging the customers are buying fewer high cost machines, out go-to-market strategy includes a heightened focus on selling maintenance contracts, service options and our consumables both to new customers and our existing customer base for our higher end binding and laminating products. Finally, and importantly, in February our sales and our customer’s sales of our products are finally converging. I believe that their sales of our products are a better reflection of the true demand for our products than our sales to them. If in fact our customers have reached what they believe to be appropriate levels of inventory our results going forward should more closely approximate theirs? To summarize, we will aggressively manage cash and continue to de-leverage our balance sheet. We believe that focusing on cash is critical in this uncertain environment. In addition to the aggressive pursuit of cost cutting actions we have deferred capital investments that do not have an immediate pay back and we will manage our current excess inventory down. We continue to refine our entire product portfolio to reduce unprofitable or low velocity SKU’s to determine the optimal sourcing strategy for every product line and to take better advantage of our size, breadth of products and geographic footprint when negotiating with sourcing partners and vendors. We are also committed to stopping the erosion of our top line by aggressively competing to gain back and win market share by improving key customer service and supply chain metrics and by quickly improving the vitality of our product lines by accelerating the introduction of new products currently in development. Over the last four months I have had the opportunity to visit our largest customers and to become acquainted with many of our employees across the globe. My meetings and conversations have given me an even stronger belief in the long-term prospects for this business. Our customers are responding favorably to our new direction. They recognize in this difficult environment that having a partner they can trust is a competitive advantage. We are committed to being that partner. Now I will turn the call over to Neal for more specific financial highlights. Neal?
Neal Fenwick: Thanks Bob. Recapping the quarter’s performance, as detailed on slide eight, sales declined 30% for the quarter or 22% on a comparable basis. With the lowest level of consumer and business demand we have seen all year, customers curtailed orders as they worked down existing inventories and chose not to make the year-end rebate related purchases. Gross profit decreased 36% and gross margin contracted 300 basis points principally due to the decline in volume and increased input costs which were not fully offset by media price increases. SG&A decreased 20%. We implemented a two-week furlough for U.S. employees at the end of Q4, had lower management incentive accruals, lower pension costs, lower overall expenditures and a $6.6 million benefit from FX translation. As a percentage of sales, however, SG&A increased 310 basis points as these lower cost reduction efforts did not fully offset the de-leveraging effect from a lower top line. In total, adjusted operating income declined 64% and margin declined 620 basis points to 6.9%. While volume was a principle issue, we also were adversely impacted by $12 million in commodity cost inflation and $5.6 million of adverse foreign exchange. The adjusted tax rate for the quarter was 33%. Adjusted EPS was $0.37. In terms of reported items, as expected we did incur one-time charges in the quarter. Pre-tax restructuring and restructuring related charges were $22 million. We also took an additional $249 million in non-cash, goodwill and trade name impairment charges and an $11 million tax charge for previously untaxed foreign earnings. Turning to an overview of our segments on slide nine, this is the first quarter we operated under our new segment structure. In January we published restated segment information for all historical quarters beginning in 2007. The story is consistent across all of our business segments. Soft consumer and business demand drove customers across nearly all geographies and channels to trim orders and also to work down their existing inventory levels. The fourth quarter was the most severe in terms of these effects and this continued through into January. In the Americas fourth quarter sales declined 33% or 29% excluding currency and planned business exits. The U.S. has clearly been the hardest hit from a demand perspective. As previously reported we also lost some share and exited business in the Americas throughout the year. Operating margins for the Americas declined to 8.8% from 14% as a result of the lower volumes, increased customer rebate programs and higher input costs that were not fully offset by pricing increases. In the international segment sales declined 25%. Excluding currency and planned business exits, sales declined by only 9%. Weakened demand throughout Europe also led to inventory management by customers. Segment margin declined to 6.1% from 10.4% principally due to the lower sales volumes and higher input costs not again fully offset by price increases. Turning to computer products, fourth quarter sales were down 33% and on a comparable basis down 28%. We saw deteriorating consumer demand and reduced retail product placement throughout the back half of the year including a disappointing holiday sales season. As such margins declined to 15.9% from a record high of 26.6% in the prior year. We now show a discontinued operation. In January we successfully signed a definitive sales agreement of our Commercial Print Finishing business and are expecting to close in the second quarter. This had become essentially a break-even business and therefore the proceeds, which will be used to reduce our debt, will be accretive to our bank covenant test during the second quarter. Looking briefly at our results on a full-year basis, on slide 10 we break down the change in sales. For the year sales declined 14%. The combination of lower demand and lost market share accounted for $226 million of the decline. Customer inventory reductions we estimate accounted for another $47 million. In terms of lost market share, as Bob discussed, we believe the actions we have taken over the past four months to simplify our structure and drive better customer interaction and supply chain performance will allow us to address the dissatisfaction voiced by our customers. We are already seeing some positive recognition of our actions. Turning to margins on slide 11, for the full year operating income declined $58 million and operating margin contracted 220 basis points to 6.8% from 9%. The contributing factors were raw material inflation, which even after price increases accounted for 110 basis points driven by the sharp rise in raw material and freight costs mid-year. Net synergies and cost savings came in at $35 million for the year, $10 million above our original commitment as we took new initiatives to respond to weak demand. However, this was not enough to offset the de-leveraging effect of lower sales volumes which was itself offset by $19 million of lower management incentive pay outs. Looking forward the sharp increase in commodity costs will continue to negatively impact our first quarter but we expect the reduction in costs to help us in the second half of 2009. Now turning to cash flow on slide 12, working capital was positive in the quarter by $6 million but much less than we had expected because the inventory balances at year-end were much higher than we had expected. These were about $60 million higher than they needed to be on an ongoing basis and will provide a strong source of cash as we work them down. We de-leveraged our balance sheet by $63 million in the quarter. As part of the reduction we repurchased $36 million of face value of our senior fixed rate notes at a cost of approximately $19 million resulting in a $17 million non-cash gain in the period. We also took steps to lower the amount of cash on hand needed to run our business which was a reduction of $24 million for the year. Slide 13 details our debt balances at year end. In terms of our liquidity needs and cash uses going forward we have $26 million in principle during the second half of the year. We don’t anticipate liquidity issues as we both work down our excess inventory and reduce payables. Our first quarter will show our normal seasonal debt increase but with our seasonal cash generation in the second half of the year we aim to reduce our debt levels for the year as a whole by $30-40 million excluding the proceeds from the Commercial Print Finishing disposition. As Bob mentioned, we announced in December that we renegotiated the terms under our senior credit facility to provide more operating headroom under our maximum leverage and interest coverage ratios. We appreciated our bank’s willingness to work with us and provide this additional headroom. The new permitted maximum leverage is 5.5 times through September and steps down to 5.25 at year end as noted on slide 14. As of December 31st we were at 4.5 times, well within the range although Q1 and Q2 are always our seasonally most challenging quarters. We remain in compliance with our bank covenants and expect to be going forward. To reiterate Bob’s comments earlier we have taken additional actions to eliminate costs and are preparing additional layers of contingency plans in case economic conditions worsen and we will be ready to adjust at short notice if needed. Finally, turning to slide 15 as always we have provided some assumptions to help you in modeling certain items. We have added the additional cash flow associated with all of our productivity initiatives in the restructuring figures. Based on the broad perspective that 2009 will be another challenging year, last quarter we dramatically reduced our capital expenditure assumption to $20 million versus $44 million spent in 2008. Our cash restructuring figure incorporates all planned actions announced to date for 2009. Amortization of stock options is lower as we determined the performance metrics under a number of our stock compensation plans were no longer attainable. At this point Bob and I will be happy to take your questions.
Operator: (Operator Instructions) The first question comes from the line of Reza Vahabzadeh – Barclays Capital.
Reza Vahabzadeh – Barclays Capital: I was wondering, do you have a sense as to what was the impact of inventory de-stocking at retail for your sales in the quarter?
Neal Fenwick: Yes that is actually included in the slides that we put together. It shows a walk through of what we think. We think our sales were reduced by about $47 million during 2008 as a result of our customers’ inventory reductions throughout the year.
Reza Vahabzadeh – Barclays Capital: Do you have an estimate for the fourth quarter?
Neal Fenwick: Yes I do. I’ll answer it later in the call and look it up in the meantime.
Reza Vahabzadeh – Barclays Capital: Have inventory levels fallen to a low enough level where there is going to have to be some reordering or is the POS too low for that to happen?
Robert Keller: Actually I think we are finally getting to a point or we believe in February we have gotten to a point where it has normalized a little bit. I think historically our customers were running about four turns a year on our product. They are well up over six at this point in time and in discussions with a couple of our largest customers they have told us they believe that they are at normalized rates right now.
Neal Fenwick: With regard to your earlier question we think our Q4 sales were impacted by about $25 million of channel de-stocking.
Reza Vahabzadeh – Barclays Capital: As far as net additional cost savings, I know you have a bunch of different initiatives some of them from last year and some of them for this year. What is the net incremental cost savings we are supposed to arrive at for 2009 versus 2008?
Neal Fenwick: Between $80-90 million. There is a volume dependency which is the difference.
Reza Vahabzadeh – Barclays Capital: $18-19 million?
Neal Fenwick : Eight zero to nine zero.
Reza Vahabzadeh – Barclays Capital: Will you reset run rates in the first quarter or will it take you a couple of quarters to get that?
Neal Fenwick: Some of those cost savings have to work through the cost of goods line and obviously those are always time delayed but you will see significant positive impact in Q1 as well.
Reza Vahabzadeh – Barclays Capital: When will you receive the proceeds of the sale?
Neal Fenwick: In the second quarter.
Operator: The next question comes from Arnold Ursaner – CJS Securities.
Arnold Ursaner – CJS Securities: I’ll start with a follow-up to the last question you were asked. What proceeds do you expect on the sale when you get them in Q2?
Neal Fenwick: I’m not at liberty to report those at this stage. Obviously as soon as we are we will make that report. It is a reasonable amount but you have to remember this was a break-even business and therefore effectively we sold it for its working capital assets.
Arnold Ursaner – CJS Securities: You mentioned a few times in your prepared remarks that you thought in February final sales for your customers had reached some form of equilibrium. What evidence do you have of that?
Robert Keller: We get weekly point of sale information from several of our customers and we saw a lift in overall sales in February over January.
Arnold Ursaner – CJS Securities: But you also would have to have had dialogue with them about their inventories or have a better sense of their inventories as it relates to that?
Robert Keller: We have that on an ongoing basis.
Neal Fenwick: We actually know exactly what their dollar holding of our inventory is so we can actually tell how much they have and what that calculates back their turns to be.
Arnold Ursaner – CJS Securities: So you actually have real data to make this point on?
Robert Keller: Absolutely.
Arnold Ursaner – CJS Securities: The other question is a little more broad. Obviously you inherited your leadership role with the company but the message you had for investors since you were carved out is a high end brand focus and yet in your prepared remarks it sounds like you are targeting much more of a full product offering targeting things as much as the opening price points. It is a material change in the strategy you have had as a company. Could you expand a little bit more on why you are shifting?
Robert Keller: I think the operating environment has changed pretty dramatically in the last 90 days and it is our assessment that there has been and will continue to be a fundamental shift in buying behavior. I don’t think there is going to be a quick recovery and I think frankly the habits that people are beginning to develop about how they spend money are going to continue on an ongoing basis. I think if we were to limit ourselves to being the premium provider of product we are going to cut out an awful lot of the market and so we believe that we have an opportunity to compete effectively and cost effectively across the entire product spectrum and we also believe that we have the opportunity to create enough efficiencies in our own operations that it is not going to dramatically impact margins.
Arnold Ursaner – CJS Securities: The final question I have is related to your cost of inventory and the selling prices you are getting. Obviously the price increases you put in at the beginning of the year are critical to achieving certain margin goals. Can you comment on the price increases you generally were able to put in January and are they now sufficient given the declining commodity costs to recover your costs going forward?
Neal Fenwick : I’m going to have to give you two different answers here. Within the United States we actually rolled back the proposed price increase which we communicated. We felt the market had changed so substantially and as a consequence of that our first quarter will be depressed by about $6 million as we work through inventory we purchased in the prior period which is one of the challenges we have to get over in the first quarter. In the rest of the world although commodities are coming down the bigger issue for them is that they have currency inflation because they buy in China much as everyone in the United States does but they buy in U.S. dollars and they sell in their own local currencies, Euros or Pounds or Australian dollars and so they have had to pass through significant price increases. So we passed through price increases in non-U.S. markets which really reflect foreign exchange driven commodity cost inflation. In the United States we put through no increase.
Operator: The next question comes from Bill Schmitz – Deutsche Bank.
Bill Schmitz – Deutsche Bank: Can you just talk about some of your underlying macro assumptions for the $30-40 million of cash flow next year?
Neal Fenwick: One of the big ones is working down the excess inventory that we have. Although it would appear from reported numbers as though our inventory reduced. That is entirely driven by foreign exchange and so despite the reduction in top line which is significant we have no underlying reduction in our inventory. If you take our own inventory back to the turns we used to achieve we have about $50-60 million of excess inventory. So we will work that inventory down and obviously that inventory rose because we didn’t forecast the dramatic reduction in sales that occurred in the fourth quarter. If you run through the rest of the modeling assumptions that I put together you should be able to back into what we are anticipating for cash. For the macro assumptions we are assuming three things you should think about. The first one is foreign exchange is going to have a big component to our business going forward. I guess in very simple terms if you take Q4’s foreign exchange rates and roll them into next year you will see something like a 10% reduction in the top line just for foreign exchange through Q1, Q2 and Q3. Profit will be impacted by about $60 million just taking foreign exchange into account year-over-year.
Bill Schmitz – Deutsche Bank: That is just translation. Is there a transaction point of view?
Neal Fenwick: From a transactional point of view we don’t anticipate an impact because we raised prices in our non-U.S. markets to impact the transactional exposure that otherwise we would have. From the rest of the metrics we have assumed negative volumes running through next year. So the underlying demand levels that we have been experiencing are what we think are going to continue. So that is what we have modeled into our 2009 plan.
Bill Schmitz – Deutsche Bank: You have always said that white collar employment is a huge barometer of the business and it looks like that is going to get worse. So is that in the model?
Neal Fenwick: It is. The one thing that should help us allow for further deterioration in white collar employment is inventory reductions we have suffered this year we won’t suffer again next year we believe.
Bill Schmitz – Deutsche Bank: Inventory reductions, won’t that also impact gross margin because if you are not making any more inventory shouldn’t you have some gross margin pressure until you work through the inventory because you are not going to be running the factories?
Neal Fenwick: That will cause us a bit of pressure but we source about 70% of what we sell and so it is a relatively small impact.
Bill Schmitz – Deutsche Bank: That was actually a perfect segue into my next question on the private label front. It sounds like you are going to get more aggressive doing private label products. But if you are a retailer and you are sourcing directly why would you put a middle man in there to manage a private label for you?
Robert Keller: A couple of reasons. One is we believe that by aggregating volumes we can grow scale that no individual customer can bring in our product categories. The second thing is if you just think about the transaction from a total cost perspective our customers have working capital tied up to the point that when they take receipt of the product on the dock in China 5-6 weeks of transportation, the de-embarkation, the transportation, the shipping, the stocking, all of those costs are cluster carrying staff at both their local headquarters and in China to manage the process. If you think about my earlier comment they are getting in excess of six turns a year on our product and they have 60 day terms with us generally it basically says if they buy the product from us they are getting the product on consignment. So they have no working capital associated with our product at all until the point it is sold. So if you look at it from a total cost perspective it makes a lot of sense for them to let someone else do it if they trust that partner.
Bill Schmitz – Deutsche Bank: I don’t want to be pejorative but then wouldn’t you be translating the balance sheet risk or the working capital risk from them to you?
Neal Fenwick: There are different models and we have already been exploring certain models where we effectively sell the products but they take the working capital exposure through from the point of shipment in China.
Bill Schmitz – Deutsche Bank: Is this private label strategy permanent or is this just kind of a reaction to a really tough macro environment meaning that 2-3 years down the road will you still be doing private label? The reason I ask is it is sort of hard to define sustainable private label stories in the public market because you lose a lot of your pricing power in that context.
Robert Keller: The reality, I wasn’t trying to make a point that we have an extraordinary focus on private label. I want us to have a focus on managing categories. I think we can be a more ballistic and better partner for our customers if we bring that to the table and I think in this kind of environment adding a strong, stable partner is meaningful and being able to consolidate suppliers is a meaningful opportunity for our customers. We haven’t given them the opportunity to do that with us and we like that opportunity frankly going forward.
Bill Schmitz – Deutsche Bank: So will inventory in your model be gone by the end of the March quarter?
Neal Fenwick: No it won’t. Partly because we never anticipated January continuing to be as bad as November and December turned out to be. It takes awhile for us to adjust our supply chain because it comes from China. We can adjust our own manufactured products very quickly but it will take us through into the second quarter to get our inventory turned.
Operator: The next question comes from William Chappell – SunTrust Robinson Humphrey.
William Chappell – SunTrust Robinson Humphrey: I first want to looking at slide 10 in the lost contracts of $50 million for the full year, can you talk a little bit is that really just a one quarter or two quarter effect or is that kind of a full year run rate as we are looking into 2009? Then I think part of the reason why there was an accelerated change at the top back in September was the word there would be some more lost contracts and trying to send a message to customers. This is a long way of asking were there additional lost contracts? Are there still risks to lose some placements as we move into 2009?
Neal Fenwick: If you go back and look at how we have been doing each quarter there was a bigger impact in the first half than the second half and so a lot of these contracts were lost at the end of 2007. We are actually believing we are going to be net positive in 2008 in terms of the same line item, with one exception obviously of the contract at Circuit City we lost the customer.
William Chappell – SunTrust Robinson Humphrey: In terms of looking at your product days being durable versus consumer stable, do you look to further reduce the SKU’s or even product lines that just don’t make sense?
Robert Keller: I think one of the things we are doing is looking at our SKU’s on a much more rigorous and frequent basis in terms of understanding SKU level profitability and velocity and cleaning that up. So the answer is I think there are cost take outs in that space both from an inventory and from an expense point of view in terms of managing the breadth of our existing product line.
William Chappell – SunTrust Robinson Humphrey: I guess my question is are you in too many product categories if within the categories you are looking at you are trying to improve the breadth? Are there too many categories that over the next 2-3 years just aren’t going to make enough money to be justified?
Robert Keller: No, I think at this point we are pretty comfortable with the categories that we are in. We think we have opportunities to grow the categories that we are in probably. I think it managing within the categories that will be the challenge in the foreseeable future.
William Chappell – SunTrust Robinson Humphrey: Again on slide ten I was a little surprised the benefit in 2008 to sales was only about $26 million. I was under the belief there were pretty substantial price increases at the start of the year that kind of started to carry through. Did you have a roll back towards year-end?
Neal Fenwick: One of the things we did find obviously was several of our customers went through renegotiation activities on price with us and some of that was driven by people like Staples buying Corporate Express which we had to go with a price equalization on which is normal when that happens.
William Chappell – SunTrust Robinson Humphrey: So we have moved away from the January/June type pricing changes and it is inter [a quarter] per year?
Neal Fenwick: No we obviously, acquisitions happen when they happen and so we hung those prices for Staples Corporate Express back in June when that transaction closed. From a go forward point of view you will see positive, better pricing increase outside of the United States because that is where we raised prices and in the first half you will see some positive flow through effect still of the June price increase we did put through.
William Chappell – SunTrust Robinson Humphrey: So when you look domestically for the January time frame were prices up or down?
Neal Fenwick: In January prices are up year-over-year.
Operator: The next question comes from Christopher Dechiario – ISI Capital.
Christopher Dechiario – ISI Capital: What was POS in the fourth quarter? Do you have what POS was down in the fourth quarter?
Neal Fenwick: What the POS of our customers was down?
Christopher Dechiario – ISI Capital: Yes your product with your customers.
Neal Fenwick: So, they vary by customer so it is not a number it is easy to give you a direct line on because we only have that number in detail for our U.S. business which is less than half of our business and we only have it for the major customers within the U.S. We don’t have it for the market as a whole. It is not a market number we can go and get a hold of.
Christopher Dechiario – ISI Capital: I understand. I guess just on the major customers is that something you can give us?
Neal Fenwick: We know for the major customers that POS was down and we know their inventories are down which is how we identified $25 million of de-stocking was occurring in the fourth quarter. Our customer POS is down very differently depending on whether they are retail customers or commercial customers and if you read their own reports they talk about what their POS is down.
Christopher Dechiario – ISI Capital: Excluding the inventory de-stocking was POS drop of your products any better or worse than what their average was?
Neal Fenwick: Our average is worse than their average which is the comment Bob made in his talk about the fact that we sell more durable products. We also did suffer some loss of contract placements which of course other people won’t have had either.
Christopher Dechiario – ISI Capital: So is there any way to quantify how much?
Neal Fenwick: I did a sales bridge walk through on slide 10 so that you can get a good feel for what we think the constituents of our decline are.
Christopher Dechiario – ISI Capital: I don’t think I heard this correctly or I just misunderstood. When you were talking about the foreign exchange impact going forward I think you said fourth quarter foreign exchange rates roughly stayed the same throughout 2009. That impact would be a decrease to the top line of 10% and a profit impact of $16 million?
Neal Fenwick : The decrease, Q4 was a dramatic change in foreign exchange rate so the impact on Q4 for 2009 will of course be zero. The impact on the full year if you just assume Q4 rates going forward is about an 8% top line decline but that is more like 10% therefore in Q1, Q2 and Q3. In dollar terms it is about a $16 million translation loss on operating income which is in Q1, Q2 and Q3.
Christopher Dechiario – ISI Capital: I had in my head a vague recollection that I think last quarter you were thinking there was going to be a $65-70 million impact from foreign exchange this year. Is that correct? Are those two completely different things?
Neal Fenwick: When you say a $65-70 million impact are you talking about on the top line?
Christopher Dechiario – ISI Capital: I was thinking profit. I was thinking cash flow. But that was the question I had.
Neal Fenwick: I don’t know where that reference comes from.
Christopher Dechiario – ISI Capital: The additional $30 million in cost savings this year is that all from the salary reductions and the two week furloughs you announced earlier this quarter?
Neal Fenwick: Would you mind repeating the question? I’m sorry.
Christopher Dechiario – ISI Capital: The salary reductions that you had announced earlier this quarter, a couple of weeks ago, the $30 million is just from those actions? The $30 million incremental cost savings?
Neal Fenwick: No the $30 million is from a series of actions that include those actions we announced last week.
Christopher Dechiario – ISI Capital: What do you expect the excess cash flow payment will be this spring?
Neal Fenwick: Our cash flow will be as it always is negative in the first quarter. If you go back and look at last year it would be a fairly good indication of what our cash flow swing will be this first quarter.
Christopher Dechiario – ISI Capital: Your 2008 excess cash flow, do you have to make an excess cash flow payment on the credit facility?
Neal Fenwick: Yes we did. It is within the credit agreement. Basically all the cash we generate we will use to pay down debt.
Operator: The next question comes from Derek Leckow – Barrington Research.
Derek Leckow – Barrington Research: On the 2009 outlook here as I take a look at slide 10 which I think is helpful to try and think about all the different categories because there are some moving parts here, you kind of talked about the FX effect. Can you remind me what you said again about pricing? Is pricing also going to be a similar type impact in 2009?
Neal Fenwick: From a price impact point of view I would expect it to look fairly similar to that which we gained in 2008.
Derek Leckow – Barrington Research: Inventory reductions you said that stabilized a little bit right?
Neal Fenwick: We anticipate that stabilizing apart from the month of January where we still saw an impact continue. That is partly driven by the timing of some of our customer’s period end.
Derek Leckow – Barrington Research: As far as volume the comment made about both planned exits and lost contracts are those items also changing at all?
Neal Fenwick: The biggest planned exit is the sale of the laminating business. Beyond that we have none. In terms of lost contracts we would anticipate in 2009 that box will go green. It will be a positive number.
Derek Leckow – Barrington Research: Then the comments on the SG&A savings, would you suggest we take a look at what you did here in the fourth quarter and try to use some of those year-over-year changes and apply those to the next few quarters?
Neal Fenwick: No. Savings will be substantially more going forward. As the fourth quarter went on almost on a monthly basis we took further action each month and so the fourth quarter doesn’t reflect the full velocity of the cost reductions we put through.
Derek Leckow – Barrington Research: Is the velocity changing on the top line at all? Did you notice anything month to month that would give you any sense for the direction of the curve at this point?
Robert Keller: Actually February is up over January and so we had the line moving in the right direction for the first time.
Operator: The next question comes from Ken [Bain] – Jefferies & Co.
Ken [Bain] – Jefferies & Co. : I was just wondering some of your major customers, specifically Office Depot, mentioned that some of their vendors were getting a little bit nervous and maybe curtailing shipments. Are you curtailing shipments to any of your major customers or are there customers you are concerned about their viability and watching very closely their payments or reducing payment terms?
Robert Keller: No. Obviously we watch all of them closely and they watch us closely. We have had very open discussions with all of our customers. We don’t believe any of our major customers have liquidity issues at this point in time and so beyond the ongoing discussions about week to week and month to month performance there has been no change in behavior. Our major customers are all current.
Ken [Bain] – Jefferies & Co. : Can you talk a little bit about your raw materials? Obviously you have seen them come down. Can you give us a little bit more detail? Have you offset some prices of various raw materials at much lower levels? Can you talk about what some of those materials would be and what those levels might be going into this year?
Neal Fenwick: We couldn’t totally hear your question but I think it was about the changes we are seeing in raw material velocity. For us the biggest impact on our margins in 2009 is going to be the negative effect of currency which we are going to offset by pushing price increases through. In terms of raw material commodities we are primarily exposed to plastics, steel, paper and packaging. What we have seen is those commodity costs have fallen sharply and they are back to similar levels to the first half of 2008 at this point. So not true for every specific SKU. You still have some which are still elevated but there is a time lag before that will work through our P&L and particularly roughly what I am expecting is a $5-6 million charge which I am going to have to take in the first quarter, roughly neutral in the second quarter and then I should see a recovery in the second half of the year as we start to get ahead of some of those commodity cost increases which are now coming down.
Ken [Bain] – Jefferies & Co. : If you could talk a little bit more about the increased placement of your products in some of the mass channels? How much in terms of additional doors are you putting products in? How many additional SKU’s are going in? Any evidence like that which you could provide.
Robert Keller: I mentioned in the last call that was a focus for us. We are really just getting started there. I would tell you we have one, the stapling and board category at Wal-Mart and if you are walking through those stores you will see our product there for the first time in those categories. We feel good about that. I think we have significant opportunity going forward but we are at the front end of that stage.
Operator: The next question comes from Karu Martison – Deutsche Bank.
Karu Martison – Deutsche Bank: As you shift to this category management focus what is the timeline here for getting kind of the value products and developing the private label into the stores?
Robert Keller: I expect us to make progress during the course of the year on that. I think one of the things that is changing in this environment is I think our customers historically have had a couple of cycles where they looked at line reviews and I think honestly there is a shift going on right now to where it is a continuous process. I think we will have an opportunity to compete going forward and in fact we are in discussions with clients as we speak.
Karu Martison – Deutsche Bank: That leads right into my second question. Of those line reviews is there really kind of an opportunity right now to up size to get private label in and displace competitors? Or what is the normal lag on that?
Robert Keller: Again, the question isn’t specifically about private label. It is about our ability to expand our presence throughout categories. We are in discussions with several or our larger clients about that opportunity as we speak. If in fact we were successful there is an opportunity for us to impact results in the back half of this year.
Karu Martison – Deutsche Bank: You mentioned that if the general macro economy got worse you had some contingency plans out there. What is the size or scope of these contingency plans compared to say the $80 million or so in cost cuts or savings you planned for this year?
Neal Fenwick: There are things in that $80 million which assume they are not continuous and they are short-term actions. It is public knowledge that for example to help us get through some of the margin pressures we have in the first quarter that we have asked all of our employees to take a pay cut. At the moment we wouldn’t anticipate those continuing. We have also completely suspended our management incentive programs and our pension plans and our 401K matching. Therefore, we have taken some pretty short-term actions to get us through a lot of pressure that we anticipate in the first half of the year. We are looking to currently try and take share which will help us deal with the declining top line that volumetrically is going to continue being a pressure on us. There are many levers we can pull. Obviously the longer we can pull together the leverage we have with our own suppliers we will be looking to get our suppliers to help us get through what is a downward spiral. A lot of that is also driven by falling commodity prices which helps us to do that.
Karu Martison – Deutsche Bank: For clarity sake, you cannot buy back any more senior subordinated notes under the amended credit agreement correct?
Neal Fenwick: We cannot buy back any subordinated notes any longer.
Karu Martison – Deutsche Bank: So debt repayment is going to go to your term loans, revolver and all that?
Neal Fenwick: Correct.
Operator: The next question comes from Stephen Chick – Friedman, Billings, Ramsey & Co.
Stephen Chick – Friedman, Billings, Ramsey & Co. : I am just trying to get an understanding of how it works, but if the customers fail to make their year end rebate purchases clearly that hurts the volumes and the top line. I would think that might help your margins. Am I misunderstanding that?
Neal Fenwick: The customer rebates are tiered to volume but in fact given the way that 2008 turned out for everybody that wasn’t part of the equation. So there is a big fixed element to rebates and it is followed by the…it appears as though we got less price increase than we would have liked to have gotten for 2008. So our rebates have a variable element and a fixed element. The variable element is not as big as we may choose it to be if we could write the contracts independently. This is a negotiated economy and therefore unfortunately our rebates have big fixed elements.
Stephen Chick – Friedman, Billings, Ramsey & Co. : When you speak of your margin decline for the quarter and you say that your increased rebate programs how do you connect the dots with that? What exactly does that mean? Is that kind of hand in hand with the harmonization you mentioned?
Neal Fenwick: No it has to do with the fixed element of the programs. There are two different things. If you go back to 2007 in the fourth quarter we benefited as that year came to an end with about $3 million of lower volume related rebate accruals we didn’t see the benefit of this year. Effectively what you did see in the fourth quarter of this year was us having to increase program payments for certain customers where mergers had taken place. No benefit of the volume related credit from the prior year and a fixed element that effectively means that it is like you are paying $6 but on lower volume which is effectively is like having a price increase.
Stephen Chick – Friedman, Billings, Ramsey & Co. : Related to cases where there are mergers taking place, with your customer base when you have to, I guess you could increase the rebate so to speak. There is one element that is kind of the harmonization of comparing lists and right sizing if you will. There is the other angle that customer is now let’s say a larger buyer collectively through you. Are you looking at the rebate programs considering both or is it strictly the harmonization piece? I guess the reason I ask is I would think that if the volumes of the buyer are collectively down because of the economy and business trends I would think the harmonization would be an easier argument whereas the collective buying might be a little more difficult? I hope that isn’t too convoluted. Can you speak to that at little bit?
Neal Fenwick: The impact we saw in 2008 was the three elements I mentioned earlier. The harmonization as opposed to any change in rate. It was the fixed elements in programs. For example there is a contribution we make to an annual catalog that is a fixed amount irrespective of the sales volume sometimes. The fact in the prior year we benefited from some volume reductions which we effectively had those benefits from earlier in the year in 2008 because it became obvious earlier on that the year wasn’t going to meet it. From a program point of view they are effectively renegotiated every year. So a lot of what happens in the first quarter of the year is you renegotiate pricing with the customer and part of what you try and do is gain volume as part of that discussion.
Operator: Due to time restraints I would like to hand the call to Mr. Bob Keller for closing remarks.
Robert Keller: I just want to thank all of you for your time this morning. We look forward to talking to you at the end of the quarter. Thanks.
Operator: Thank you for your participation in today’s conference. This concludes the presentation and you may now disconnect. Have a good day.
 and are :
Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited.:
THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S : If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!